Operator: Ladies and gentlemen, thank you for standing by. Hello, and welcome to the Centamin Results for First Quarter and Three Months Ended March 31, 2017 Conference Call. Throughout the call, all participants will be in a listen-only mode, and afterwards there will be a question-and-answer session. Just to remind you, this conference call is being recorded. Today, I’m pleased to present Andrew Pardey. Please begin your meeting, sir.
Andrew Pardey: Okay. Good morning, ladies and gentlemen, and welcome to the Q1 results call. Joining me on this call this morning is Ross Jerrard, the Chief Financial Officer; Jonathan Stephens, the Chief Development Officer; and Andy Davidson, Head of Investor Relations. As we indicated at the beginning of the year, a lower production rate was expected in the first quarter. The grades from the open pit reduced as a cutback in the east wall continued, which was in line with the mine plans. Accordingly, Q1 gold production was just – was 109,187 ounces, down 20% from the previous quarter Q4, 2016. As a result, there was also increase in mine production costs over the previous quarter, mainly due to an 8% increase in the open pit mining rate to a quarterly record of just under 17.1 million tonnes. This together with the later ounces produced saw an increase in the unit cash cost of production to US$734 per ounce from US$536 per ounce in the fourth quarter of 2016. For the same reasons, all-in sustaining costs increased to US$887 per ounce from US$720 per ounce in the previous quarter. The lower production and higher cost improved the financial performance during the quarter with EBITDA down 35% to just over US$53 million and earnings per share after profit share down 63% to US$0.0116 per share. Cash flow from Sukari, however, remained strong, whilst the cash and liquid assets balance decreased by US$137 million during the quarter. This came after a $155 million payment for the 2016 final dividends. Net of this figure was just over $18 million added to the balance during the quarter. Without open pit grades set to increase from here, quarterly production rates are expected to increase and unit cost decrease over the remainder of the year. Therefore, we’re maintaining our full-year guidance of 540,000 ounces at a cash cost of production of $580 per ounce, and all-in sustaining costs at US$790 per ounce. Now continuing exploration programs also offer significant potential for medium and longer-term production grades from the country. Results from the underground drilling at Sukari continue to impress and we look forward to providing an updated resource and reserve estimates during the second quarter. The new Cleopatra decline to the northeast on Sukari Hill also continues to progress well, as completion of the initial development pace is not for the establishment of the free drilling platforms. Initial results confirm high-grade zones in the eastern contact of the porphyry, as outlined in today’s release, grades and width so far accounted as soon as the values observed in the existing Amun and Ptah area. Whilst it remains early days of this exploration project, the Cleopatra decline is being developed with infrastructure capable of supporting up to 1 million tonnes per annum from this area. Whilst our ultimate production rates will depend on future exploration results, it is worth noting that this directly replicate the strategy we use to explore developing Amun and Ptah regions at Sukari. Outside of Sukari, we also enhanced earlier in the year a new discovery at Doropo in northeast Côte d’Ivoire, with 0.3 million ounces indicated and 1 million ounce inferred resource. Initial metallurgical test work has been positive and the plan from here is to undertake further resource in metallurgical drilling with the aim of completing a preliminary pit optimization study during the year. There’s still a fair way to go in the exploration process that this project is got off to a flying start towards providing low-cost and high return growth. Burkina Faso also continues to offer a good potential for economic growth, a new exploration manager has been busy during the quarter reviewing and interpreting the extensive datasets with a view to planning further exploration in 2017. With that summary, I’d like to hand back over the operator for questions. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from Richard Hatch from RBC. Please go ahead. Your line is open.
Richard Hatch - RBC Capital Markets: Thanks very much and good morning, gentlemen. Thanks very much for the call. Firstly, just Andrew I wonder whether you might just be able to give a bit of an update on your expectations for the great profile for the open pit and underground for this year at Sukari, please?
Andrew Pardey: As we said at the start of the year, Q1 was always going to be lower grades coming from the pit and during the process of Q2 and going into Q3, the grades from the open pit will return to the – closer to the reserve average price of 1.05 grams per tonne. The underground, again as we forecast, overall production and development grades of 7.5 grams per tonne.
Richard Hatch: Okay, thanks. And then can you just remind us if your plans for Cleopatra for the remainder of the year?
Andrew Pardey: Cleopatra we’re excited, so it’s all about the drilling. We’ve established the drilling platforms and we’ve got the rigs in that drilling. And it’s really, as those results come back, that will determine the strategy for how we go forward with developing Cleopatra. But initial results are encouraging.
Richard Hatch: Okay. Can you just remind me how many major explorations [ph] to drill this year and as probably your budgeted plan?
Andrew Pardey: In Sukari, we’re going to drill approximately 7,000 meters of exploration drilling.
Richard Hatch: Okay. So – and then I appreciate there’s no update in terms of your – the two court cases, but then are you – is there an update in terms of the next date for the court case or is it just wait and see?
Andrew Pardey: It’s really a case of wait and see. It’s just running through the process.
Richard Hatch: Okay. And then last question, I know you’ve – I hired one of my index colleagues, as – in corporate development. I just wonder whether you might be able just to give an update on your views on the M&A in the market at the moment?
Andrew Pardey: Well, look, we have a strategy. We believe the best way for our growth is obviously through exploration. But we do continue to look at M&A opportunities and we’re doing that on a regular basis.
Richard Hatch: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. There appear to be no further questions. I will turn the conference back to you.
Andrew Pardey: Okay. Thank you very much for dialing in today. If you’ve got any further questions at all, please contact either Jonathan or Andy Davidson. Thank you very much.